Operator: [Operator Instructions] This conference is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the call over to Mr. Tim Tevens, President and CEO of Columbus McKinnon. You may begin. 
Timothy Tevens: Thanks, Wendy, and good morning, everyone. Welcome to our conference call this morning to review the results of our first quarter of fiscal '13. With me today here is Greg Rustowicz, our Vice President of Finance and Chief Financial Officer. Please note that we have included some summary slides on the quarter for your review. They can be found at our website at www.cmworks.com/investors, and hopefully, that'll help you follow our earnings call comments. We do want to remind you that the press release and accompanying slides in this call today may contain some forward-looking statements within the meaning of the Private Litigation Reform Act of 1995. These statements contain known and unknown risks and other factors that could cause actual results to vary. You should, in fact, read the periodic reports that we file with the SEC to be sure you understand these risks. 
 As a reminder, starting on Page 3 of the summary deck, our long-term objectives include growing this company to a $1 billion business with 1/3 of our revenue in developing markets and 2/3 in developed markets along with a $200 million to $300 million acquisition in terms of revenue, with a 12% to 14% operating margin and a strong working capital level as well as an overall balance sheet. We certainly continue to focus and work and apply our resources on acquiring companies that strategically add product breadth and market presence to help us grow around the world. 
 Page 4 does provide some highlights for you on the first quarter of '13, and I'll go over these and then turn it over to Greg in a moment for some more details. Our revenue growth continued at a very nice positive trend, up 9.5% in the quarter, which was very strong considering the currency translation headwinds we are facing. The U.S. revenue had a very nice positive trend in the quarter, up 18.5%. Non-U.S. sales were up 10.1% net of the currency translation. In the U.S., we are seeing a broad increase across all of the markets in which we serve. In particular, we see MRO, heavy OEM, oil, gas, entertainment, general manufacturing to name a few. Our Hoists and Rigging business in Europe is still growing but at a slower pace, and the engineered, these are more capital-intensive projects, had certainly slowed in Europe for us. Asia-Pacific and Latin America are small for our company and continue to grow very rapidly. 
 Our global bookings in the quarter also continued their positive trend and are up in the mid to high single-digit growth level over last year. Our operating income increased 77% to $12.8 million. Our operating margin was 8.4%, and the operating leverage in the quarter was 42%. EPS was $0.43 for the quarter, up from $0.14 last year's first quarter. 
 Turning to Page 5, you can see that our volume in the U.S. was up 15% and outside the U.S., 6.8%. Price contributed 3.4%, and as I mentioned earlier, we did have a headwind of foreign currency translation at a negative effect of 5.1%. As you can see, the volume represented the bulk of our growth at 11.2%. Overall, our U.S. sales increased 18.5%, as I mentioned, and non-U.S. sales decreased slightly but really up 10% -- 10.1%, excluding the effects of that negative foreign currency translation. 
 The -- at a macro indicator, the United States industrial capacity utilization is up to 78.2% in this past June. The Eurozone utilization remained flat at 79.6% in June. We do believe that the U.S. industrial economy remains pointed in a very positive direction, with Europe clearly slowing but still growing at least for us. And Asia-Pacific and Latin America are up significantly, but -- and of course, these are not economic -- generally economic driven markets for us. Really, these are the investments that we're making in these markets. This is a very low base of business for us, so the growth remains pretty high. 
 So let me now turn it over to Greg for a few more details on the quarter and then he'll turn it back to me. 
Gregory Rustowicz: Thank you, Tim, and good morning, everyone. Turning to Slide 6, our first quarter consolidated gross profit dollars increased by $8.2 million or 23%, and our gross profit margin improved 310 basis points to 28.6%. Our gross profit increase was driven by net price over inflation of $2.7 million as well as the positive earnings impact of increased sales volumes of $3.9 million previously mentioned. This quarter's sales volume was favorably impacted by $1.8 million of net revenue with no associated cost of sales from a large rail crane project completed in the quarter, where we provided technical support, training and ultimately service. 
 Due to the accounting rules regarding such transactions, revenue was recognized on a net basis. In addition, improved efficiencies in our manufacturing facilities added $3.2 million of gross margin. We also benefited from additional gross profit from the South African subsidiary acquired last December. Finally, foreign currency had a negative impact on gross margin in the quarter of $2.4 million. 
 On Slide 7, selling expense increased 2.1% from the prior year in dollar terms, but decreased to 10.7% of sales this year compared to 11.5% last year. The increase in selling costs is primarily related to the overall increase in sales. Foreign currency translation had a favorable impact on selling expense of $1 million this quarter. 
 G&A expense increased $2.7 million compared with the prior year, representing 9.3% of sales versus 8.2% in the prior year. About $500,000 of the increase was related to our ERP system implementation. We also had $300,000 of incremental costs associated with our South African acquisition. 
 Other increases were due to severance costs, higher accruals for incentive compensation and increasing group health cost, which, together, totaled $900,000. We expect our SG&A run rate to be around $30 million per quarter going forward. 
 Turning to Slide 8, operating income increased by 77.2% to $12.8 million or 8.4% of sales compared to 5.2% of sales in the previous year. Operating leverage in the quarter was 42%. The improvement in operating income is being driven by the sales volume increases as well as the continued improvement in operating efficiencies previously discussed. On an operating basis, our Forging operations saw higher revenue and profitability year-over-year, and it continued to improve sequentially. 
 As you can see on Slide 9, income per diluted share for the first quarter of fiscal 2013 was $0.43 per share, reflecting a $0.29 increase from the prior year period, where we reported earnings of $0.14 per share. The effective tax rate in the quarter was 17.4% versus 32.8% in the prior year period due to the mix of earnings in the U.S. versus our foreign affiliates and the fact that we have a valuation allowance against our deferred tax assets in the U.S. On a pro forma basis, at a 38% tax rate, earnings per share in the first quarter of fiscal 2013 were $0.32 a share versus $0.13 per share in the first quarter of fiscal 2012. Our expected effective tax rate for fiscal 2013 is expected to be between 17% and 22% based on the geographic mix of earnings that we anticipate.
 Turning to Slide 10, our working capital as a percent of sales increased to 19.8% in the current quarter from 17.6% at March 31, 2012. This increase is largely driven by lower accounts payable balances and the payment of certain liabilities that were accrued as of our fiscal year-end. Inventory turns of 4x were lower than the most recent fiscal year-end level of 4.3x due to higher inventory levels associated with the sales volume increases we have talked about as well as continued supply chain challenges. We do expect to improve inventory turns as the year progresses as this is a key operating metric for our facilities. 
 On Slide 11, you can see that we had $3.9 million of net cash used for operations in the first quarter of fiscal 2013, and that cash used for operating activities was due to the payment of certain liabilities accrued as of our fiscal year-end of March 31, 2012, as previously mentioned. Capital expenditures were $1.7 million versus $3.2 million in the previous year. We do expect capital expenditures for fiscal 2013 to be in the $14 million to $17 million range. 
 Finally, on Slide 12, you can see that as of June 30, 2012, net debt was $70.5 million and total gross debt was $152.7 million. Net debt to net total capitalization was 30%, which is in line with our 30% goal. In addition to having $82.2 million of cash in our balance sheet at June 30, we have an additional $73.6 million available under our $85 million senior credit facility net of $11.4 million of outstanding letters of credit. We continue to demonstrate significant liquidity to support our strategic growth plan, which includes acquisitions. 
 With that, I will turn it back over to Tim to cover the second quarter outlook. 
Timothy Tevens: Thanks, Greg. Let's take a moment and, if you would, flip to Page 13, talk a little bit about our outlook for the second quarter. We would expect to continue to see revenues grow in the mid- to high-single-digit range. This, of course, is even in the face of a sluggish U.S. economy, a poor Eurozone economy and slower or slowing growth in emerging markets. As you might imagine, we read the same economic reports that you all do and we are cautious. We do expect positive growth, however, even in Europe, but we certainly will have a currency translation headwind as the dollar strengthens against the euro. Mexico should remain strong, and Brazil will face some challenges, and they are facing some challenges now. But I think with the planned infrastructure investments given the upcoming World Cup and the Olympics there, we should be able to grow in that market as well. 
 We’ll also continue to make our strategic investments in China. And as you can see on the slide as well, our backlog remains almost $110 million, which is up from a year ago. And as you know, most of it, 57% of it is in the U.S. It is a slight reduction in the backlog from the Q4 fiscal '12 quarter, but actually right now as we sit here today, a couple weeks into our new quarter, our second quarter, we're at the same level of backlog. 
 So that's our outlook. Let me just pause here for a moment and ask Wendy if she would open it up to questions. 
Operator: [Operator Instructions] Our first question today comes from Jason Ursaner with CJS. 
Jason Ursaner: I just want to make sure I'm understanding the recurring parts of earnings. So the revenue, it included this $1.8 million fee, and the costs have already been incurred there, so you're implying, I guess, $1.3 million of costs that should have been allocated to match this? 
Timothy Tevens: Yes, let's take a moment. I'll have Greg just describe this to you. This is somewhat unique for our business, so we'll give you some details here. 
Gregory Rustowicz: Sure, this is a large rail crane project where we acted as an agent/broker. The contract was in process for over 2 years. And it was not a crane that Columbus McKinnon made, but it was one that we helped our customers spec. We're going to be servicing it, and we're actually helping with the assembly. So given the accounting rules for it, we actually recorded net revenue of $1.8 million with no cost to sales. So there was the top line and obviously, that would drop to the gross margin. And I think in our press release, we actually even indicated that the impact of that transaction was about a positive 80 basis points on our gross margin. 
Jason Ursaner: Right, but that wouldn't have been the whole 1.8 then? That would have -- it's sort of implying... 
Gregory Rustowicz: Well, it's $1.8 million of sales with no cost to sales, so it drops the $1.8 million of margin. 
Jason Ursaner: Okay. Okay, and then the incremental costs of South Africa, that's an ongoing incremental or onetime? And then also the severance costs, how much of the $900,000 would have been related to that? 
Gregory Rustowicz: Yes, regarding South Africa, we had pointed out or said on the press release last December that we had closed on a relatively small South African acquisition that we were already an equity owner on. So for the next 2 quarters, we will continue to have, on a year-over-year basis, incremental sales, incremental gross profit, incremental SG&A. But come the last quarter of our fiscal year, we will have, in both periods, when we do our comparisons, the results of the South African acquisition. So at that point, we will no longer refer to the kind of year-over-year change. 
Timothy Tevens: But the extra $300,000 that you were talking about, Jason, is really the cost to acquire the South African business. And that's a onetime cost. 
Gregory Rustowicz: And then you had asked about the severance. For confidentiality reasons, we're not going to break that out. But I believe we told you in total that those 3 items added up to about $900,000. 
Timothy Tevens: Right. 
Jason Ursaner: Okay. Such -- so if I'm pulling out the brokerage fee and sort of bring your operating margin down in the 7.5 range, and that's going to push up the effective tax rate that you reported to around 20%. So if I adjusted out the valuation allowance, you're talking roughly a $0.30 quarterly run rate at this revenue level on a fully tax basis, excluding the other onetimes? 
Gregory Rustowicz: I believe, this morning, I calculated it to be a little over $0.07 is the impact. You’d have to take the revenue also, the $1.8 million of profit also when you look at margin out of the revenue line as well. But I believe the EPS impact is around a little over $0.07 a share. 
Jason Ursaner: Okay. And then just last question and I'll jump back in the queue, the $30 million SG&A run rate, Greg, you had mentioned pension expense is one of the items that you previously called out in the increase. With the new legislation there, is there any -- is there some other offset that's increasing it to get you back to that run rate, or do you not expect to see much of a benefit? 
Gregory Rustowicz: Well, with the new pension legislation, that was not baked into our estimates at the time. We're still in the process of studying what impact that will mean from a contribution perspective. The $30 million run rate is really, at the size company we are today, including the impact of the South African acquisition, which adds incremental SG&A, so that's what we expect going forward. And it's going to include, as the company's results improve, higher incentive comp costs as well. Our medical costs, like most companies, continue to go up, although ours are actually trending a lot less than the high single-digit increases that other companies have seen. 
Operator: Our next question is from Schon Williams with BB&T Capital Markets. 
Christopher Williams: I wonder if I can maybe just ask Jason's question all little bit differently. I mean, I'm -- if I back out the pension curtailment charge from last year, I mean, I'm coming up with base incremental margins of 30%, which is on the low end of your established range. And then that number would be -- my thought would be that number is actually inflated by this service work that you were able to capture in the quarter. So, I mean, am I looking at this right that core incremental margins in the quarter, excluding the service work, excluding the pension curtailment were actually kind of below your 30% to 40% guidance? 
Gregory Rustowicz: Well, I didn't do the calculation without the pension curtailment cost, but our operating leverage, excluding the Transnet -- or excluding that rail contract would have been around 33%. 
Christopher Williams: Okay. And then was there any SG&A that would be associated with that project or not really? I mean, it should have all been captured in that kind of net revenue number that you reported, the $1.8 million? 
Gregory Rustowicz: Correct, it's captured in that net revenue. 
Christopher Williams: Okay, that's fine. And then could you just talk a little bit more about -- a little bit more of what you're seeing on the international side? I want to say that it seems like you're still seeing some stability overseas. I was all little surprised, I mean, it sounds like you're talking about -- is it still up 10% internationally, kind of excluding ForEx? Is that the right number? 
Timothy Tevens: That's the right number, Schon, right. 
Christopher Williams: Okay. And what -- I mean, how does that look as we look -- how does that look as we kind of dive in a little bit? I mean, is that Europe kind of still barely up and then being more than offset by the growth you're seeing in some of your new international markets? 
Timothy Tevens: Yes, our volume in Europe is in that high single-digit area of growth. We're still very strong in our Hoist and Rigging business. It's somewhat offset by the capital-intensive Engineer Projects we have, which were down. And we're seeing that quotation activity for those kinds of special rail and road and actuator projects remain pretty high at the same level, I'd say, a year ago. But people are not making decisions to push forward with some of these major capital projects. So we're seeing delays in the booking side. So we quote, we don't get the booking, which of course then we don't get the revenue. But the core -- I call it core Hoist business that you would know us as and the Rigging component business and the slings and things of that nature, are up. The volume is up quite nicely year-over-year, in Europe in particular. And, of course, as you go around the world and you look at Latin America and Asia Pacific as well, we're seeing very nice growth there. But those are not economic-driven activities for us, those are really investments that we have made over the years that are bearing fruit into those growing industrial markets. 
Christopher Williams: Okay. And then the backlog decline, I mean, would you point to some of the engineered product as being the source of most of that backlog decline? Or is that some of the general... 
Timothy Tevens: Yes, most of it is currency decline, most of it. Some of it is some of these projects that are rolling off. But in reality now, if you look at our backlog today, it's back up to the same level. So it bounces around. It's not a perfect proxy, but it -- bookings are strong, so the backlog grows slightly so. Moving $4 million, $5 million of backlog is, in my mind, immaterial. 
Christopher Williams: Okay. And then just lastly, I would have expected, given that the sales actually ticked down slightly Q1 versus Q4, I understand that some of that is ForEx. But then we actually saw inventories tick up ever so slightly. I would've thought maybe you'd be a little bit further along in some of your inventory reduction initiatives. Can you just talk about where we are and maybe what some of your goals are for fiscal 2013? 
Timothy Tevens: Sure. Yes, looking at it on the surface, your assumption, I could see how you could draw that. But in reality, when you look at the inventory ticking up slightly, it's a direct result of some very large projects, particularly in the States, that we have captured. And these are work in process right now, so the inventory ticked up to accommodate those larger projects. The core business, the Hoist and Rigging business, is -- really, the turns are doing fine. So the normal business is flowing and flowing well. We need to get better, by the way, even in the 4 area turns is not acceptable for us. We need to be in the 5 to 6 area turns. So really, this is more project-driven inventory growth than anything else. 
Operator: Our next question is from Joe Mondillo with Sidoti & Company. 
Joseph Mondillo: Just as regarding the SG&A, just to clarify, so you were at $31 million for the quarter and you mentioned about $900,000. So if you take that out, that gets you to about $30 million, is that correct? 
Timothy Tevens: Yes. 
Gregory Rustowicz: Yes, that's correct. 
Joseph Mondillo: So the ERP is falling off completely in the second quarter? 
Gregory Rustowicz: No, it's a question of we're now -- we have kicked off our next implementation. We had about a quarter where we were kind of finishing up kind of postal live activities at our Duff-Norton facility, and so those costs are not capitalizable. So we have now kicked off the next major site, which actually is in Europe. And so we'll have less of those postal live costs as the resources are dedicated to the next implementation. 
Joseph Mondillo: Okay, and when is that? 
Timothy Tevens: Right now. It's starting now, right. 
Joseph Mondillo: Okay. And the severance, what -- where was that related to in terms of those costs? What region? 
Timothy Tevens: That was... 
Gregory Rustowicz: U.S. 
Timothy Tevens: Predominantly U.S. 
Joseph Mondillo: Okay. And then could you just talk about the seasonality and just remind us about that? I think last year, we saw June, the June quarter to the September quarter ticked up and then ticked down in the December quarter. How does that look this year? And how does that play out with European vacation and such like that? 
Timothy Tevens: Yes, I would expect it to be the same. Historically, our company has had a very strong fourth quarter as we reported $159.6 million last quarter, and we're at $153 million this quarter. The fiscal first quarter and, correspondingly, the second quarter are usually about the same. The weakest quarter is our December quarter, and that's predominantly driven because of the holidays around the world, and there's just less working days before that. So Q1, Q2 alternate between which one is going to be second in line so to speak in terms of highest revenue. Q4 is always the best and Q3 is always the, generally, the lowest. 
Gregory Rustowicz: And just to add on, Joe, the second quarter shipping days are comparable to what they were in the first quarter. 
Joseph Mondillo: Okay, perfect. Also, just last question, I missed U.S. volume versus non-U.S. volume growth. Usually you give that out. I missed that. 
Timothy Tevens: Okay, the U.S. volume growth was... 
Gregory Rustowicz: 15%. 
Timothy Tevens: 15%, and non-U.S. growth was 6.8%. 
Joseph Mondillo: Okay, so you actually saw an acceleration in the non-U.S. volume, is that correct, from the fourth quarter? 
Timothy Tevens: That's an excellent question. I don't know [indiscernible]. 
Gregory Rustowicz: Yes, I don't know. I don't have that. 
Joseph Mondillo: I think it was 4% in the first -- fourth quarter and actually 4% maybe in the third quarter too. That's what I had. 
Gregory Rustowicz: Okay. If that's what it was, then yes. 
Joseph Mondillo: What regions is the -- what's driving that? What regions are the strongest? 
Gregory Rustowicz: For us, Germany, France and the U.K. are the 3 predominant regions. But then our emerging market, Eastern European exposure has also been very helpful and growing quite well. 
Timothy Tevens: And so is Asia and Latin America. Yes, you're right, it was 4.2% in the fourth quarter, Joe, so it did accelerate. And I think Hoist business in Europe, Western Europe, Eastern Europe, and then of course the emerging markets added to that. 
Joseph Mondillo: Have any regions been -- have those regions been offsetting any other sort of maybe some of your weaker non-U.S. markets? 
Timothy Tevens: Yes, this Engineered Products business in Europe, which seems to be -- our bookings seem to have slowed and our revenue have slowed. That's being offset by the Hoist and Rigging business in Europe as well as the emerging markets around the world. 
Operator: Our next question is from Gary Farber with CL King. 
Gary Farber: Just 2 questions. Can you -- I don't know if you already talked to it, is -- just an update on your Tennessee facilities, what you're seeing there, what trends you're seeing? And then just any commentary you can give us just on the competitor environment particularly in Europe? 
Timothy Tevens: Sure, sure. Well, Chattanooga has our Forging business there, and it's continuing to improve and doing much nicer, much better today, servicing customers and producing quality products with fewer defects. So we're -- we continue to be on that same very upward positive trend line. It's not at the level where I'm happy with it yet at this point by any stretch of imagination, but it's much better. I think quarter-over-quarter, Greg can give you some details on the -- the revenue is up... 
Gregory Rustowicz: 15%. 
Timothy Tevens: Yes, and the profits were up significantly from last year. 
Gregory Rustowicz: Correct, yes. 
Gary Farber: I mean, what else has to happen there? What else do you want to see? 
Timothy Tevens: Oh, I want to see more growth. Top line growth is of importance. We did see some very good growth, and that's beginning because we're -- when you're able to deliver product when the customers need and want them, you begin to win back the market share that we lost over the last couple of years. And that -- we're seeing that now, Gary. And then corresponding with the volume is the profitability. I think the quality is headed in the right direction. From a production standpoint, I think that the utilization of the plant is up substantially. We finally have, for all intents and purposes, a full cadre of people that are now trained or in the process of being trained, so we're feeling much better about it. We have -- we continue to have our Lean experts in that facility, helping the plant management push forward with improvements. And that's creating some of our cost reductions and productivity gain. 
Gary Farber: Right. Right. Okay, and on the competitive front? 
Timothy Tevens: Especially in Europe, I'm not seeing anything change from historically. We have 3 major hoist competitors around the world, and they're behaving as they always have, that's KONE, KITO and Demag. Demag was acquired by Terex or is in the process of being acquired by Terex, and -- but we haven't seen anything substantially different in terms of their behavior. And then the rigging folks that we see around the world as well. I think right now, the bottlenecks that all of us face as the recovery hit us are pretty much through, and we're all doing a fairly good job of delivering product into the marketplace and behaving rationally. 
Gary Farber: Right. And just one last one, just on inventories in the channel, do you think they're being -- given the IFM data that came out and stuff like that, do you find out they're being run pretty lean, or do you think it's pretty clear? 
Timothy Tevens: I think it's pretty clear. I did see inventory -- we got a price increase in March. And usually, in advance of the price increase, we have our channel partners, let's say, stock up. They did that in the fourth quarter. And we delivered some of that in, not only in the fourth quarter but in this first quarter. But I think for the most part, I'm seeing that being flushed through, and it's pretty clear. 
Operator: [Operator Instructions] Our next question is from Jason Ursaner with CJS. 
Jason Ursaner: Can you just talk about orders by geography, what you're seeing in terms of order growth? 
Timothy Tevens: Sure, hang on one second. Order growth, mid to high single digits in total, pretty strong, continue to be stronger in the United States. And this is as of up through last week, Friday, Jason, so it's fairly current. We see the U.S. continuing the fairly solid pace that we saw last year, and now this first quarter. Europe is, let's say, lower single digit at this point, and we're also seeing very solid bookings in Latin America and Asia right now. And those are -- I don't know what those percentages are, I don't have them in front of me, but they're double digit and pretty large. But of course, as you know, it's a low base of business for us today. 
Jason Ursaner: And so the Europe, the lower growth there, that's including currency that's sort of an all-in number? 
Timothy Tevens: Yes, that's correct. 
Jason Ursaner: Okay. And anything new on the acquisition strategy? Are you seeing assets come available and they're just not fitting for whatever reason or are properties really not up for sale at this point? 
Timothy Tevens: We're seeing -- we have a good 6 to 8 active ones that we're working on now and have been -- some of them have been for a long time. The process that we go through of targeting and looking for what we perceive to be good strategic value-added kind of acquisitions takes a lot longer for us to close on than have true auction that we don't -- haven't participated in as of late, at least. So these processes take time. We're happy with some process and not happy with others. We couldn’t agree on price on one recently here that the owner felt differently than we did, which is fine, and those things happen. But of course, we're pushing forward with other parts of the world and spending our time and energy with those target partners, potential partners, and working through the details of what we think they're worth and what the owner thinks they're worth. And I'm very hopeful that we'll actually come across the finish line here at some point in the near future and something maybe a little bit bigger than the South Africa one we did last December. 
Operator: And at this time, I'm showing no questions. 
Timothy Tevens: Great. Well, thank you. Let me conclude by saying we certainly expect the rest of '13 to be a nice growth year for our company. The operating leverage should continue to be very positive. Our investments in the emerging markets continue to bear fruit, and we expect that the U.S. will continue to grow, and it may be a more modest pace, especially as the comps become a little bit more difficult. 
 I think Europe will be in a slow growth mode. They have to recover. But Germany is our biggest and largest market in Europe, and that should remain relatively positive for us even with some of the headwinds on the euro as well as the Engineered Products business. 
 We're well positioned to continue to execute our plans and grow profitably. We have $82 million in cash and an $85 million revolver to help execute those plans. We're spending a considerable amount of time and energy in acquiring strategic and value-added companies that can add to our product portfolio and provide us with a better presence in emerging markets. We're going to continue to make those strategic investments in the selling and emerging markets such as China and Brazil, which has proven to be very beneficial for us, as well as continue to invest in new products and services. And also, one other point that you should know, the industrial capacity utilization around the world is either growing or is stable, and this is a good leading indicator for our company, which I'm happy to see. 
 I want to thank all of our associates around the world for their dedication to excellence and making our company a stronger, well-positioned organization. And as always, we also appreciate your time today. Thanks and have a good day. 
Operator: Thank you. This does conclude today's conference. Thank you for joining. You may disconnect at this time.